Operator: Greetings, and welcome to the Limbach Holdings First Quarter 2019 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Jeremy Hellman of The Equity Group. Thank you. You may begin. 
Jeremy Hellman: Thank you very much, and good morning, everyone. 
 Yesterday, Limbach Holdings issued the announcement of its 2019 first quarter results and filed its Form 10-Q. The company will also be using a slide presentation to accompany this earnings call. The presentation can be found in the Investor Section of the company website at www.limbachinc.com. The company encourages everyone to review the forward-looking statement disclosure on Slide 2 of the presentation. 
 With that, I'd like to turn the call over to Charles Bacon, CEO of Limbach Holdings. Please go ahead, Charlie. 
Charles Bacon: Thank you, Jeremy. Welcome, everyone, and thanks for joining us. 
 Joining me today is our Chief Financial Officer, John Jordan. As Jeremy mentioned, we'll be using a presentation deck, and I'll be noting the pages we're referencing in our commentary.
 We're quite pleased with the results for the quarter, which was great to see after our strong fourth quarter results. As summarized on Slide 3, Q1 was a solid quarter across the board, as we executed well on both our Construction and Service segments. As you can see from the table here, the company's performance in Q1 exceeded both the prior year period and analyst consensus estimates, up and down the P&L, from revenue to EPS. John will provide greater in line details shortly.
 Broadly speaking, through the first quarter, 7 of our 10 business units reported year-over-year growth in revenue reflecting the continued strengthening of our brands and presence in each market location. Within our Mid-Atlantic business unit, I'm pleased to announce they delivered a profit exceeding their business plan forecast. On May 9, I spent the day with the Mid-Atlantic team discussing their marketing plan going forward.
 I left the session with a positive view on their market opportunities post rightsizing the business. We don't expect much contribution in 2019 from Mid-Atlantic, but it became clear they're back on track to deliver positive operating results in the future. I want to acknowledge the team for their drive to turn around that business unit. It's a great group of people with a very bright future. They have a very strong competitive advantage with their full mechanical, electrical, plumbing offering, which is unique to their local market at our scale. 
 Now turning to Slide 4. As we approach the midpoint of the year, I'm really pleased with our sales to date after a strong fourth quarter. Health care projects continue to lead our bookings as Limbach continues to be a brand of choice for both large scale and smaller health care sector projects. We also booked a sizable research and development project in the New England business unit. Our pipeline remains very robust. Combined with what we know in terms of future opportunities we are tracking and other industry forecast, we see strong market opportunities for the near to midterm.
 As a result of these and other wins, our current record backlog is in excess of $610 million. Of that total backlog, $557.6 million is Construction and the remainder is Service. In addition to booked backlog, we have an additional $341.9 million of promised work, which is not yet reflected in the backlog numbers I just mentioned. Historically, we have converted promised work to backlog at a very high rate. And with that noted, we feel good about our budget coverage for this year and also feel we have a nice head start on 2020 and beyond.
 As those of you that have followed us for some time, that promised figure typically involves projects that were in preconstruction and design phases. From a timing perspective, while there was no hard and fast rule, projects in our promised bucket typically get underway anywhere from 6 to 12 months after we begin design and preconstruction work. The obvious inference here, again, is that we feel really well positioned looking out to 2020 and into 2021.
 I want to make some high-level comments on each of our operating segments, and John will follow with more details on those as well. Within our Service segment, we enjoyed strong growth of over 23% year-on-year. Our investment in improving our Service leadership talent along with more feet on the streets selling services to buildings we did not build, continues to reach strong results. 
 As I mentioned on our last call, we launched new technologies to monitor energy consumption and provide predictive maintenance. We are very bullish on the continued rapid expansion of our Service segment. Our brand, combined with the addition of more sales staff and the introduction of new technologies, clearly creates an opportunity for strong ongoing expansion and growth within the Service segment.
 I'm also very encouraged by the performance of our Construction segment. We continue to solidify our relationships with building owners that is helping drive our strong sales and record backlog. Also during our last couple of earnings calls, we've provided a lot of detail on the initiatives we have put in place to return our Mid-Atlantic branch to profitability and the Q1 performance of that business unit shows our plan is working. We also have talked about the diversity of our business as a key differentiator, and our Q1 results bear that out. Earlier, I noted how 7 of our 10 business units reported year-over-year revenue growth. That enabled our overall Construction segment revenues to be up despite our strategic contraction in Mid-Atlantic.
 At this point, I'll hand it off to John for a review of our segments with more detail along with our overall financials. 
John Jordan: Thanks, Charlie. As Charlie noted, we had a strong quarter, particularly given the slowness we traditionally experience in the early part of the year. We were very pleased with the results.
 Please turn to Slide 5. All key income statement items showed positive trends year-over-year. Our revenues were up 11.1% to $134 million. Gross margins were strong at 15%, which together with better control of SG&A expenses resulted in adjusted EBITDA of $5.6 million, which is a substantial improvement compared to the negative adjusted EBITDA of $860,000 in the first quarter of last year. We also generated EPS of $0.28, which handily exceeded last year's performance and analyst expectations for the quarter. 
 I'm now on Slide 6. Construction segment revenues of $104.7 million were up 8.1% compared with the prior year. Our New England, Florida and Ohio regions led our growth. At the regional level, our Florida operations are busy with key hospital projects for longtime customer, HCA. And as Charlie noted, we have one additional project with HCA this year, so we really expect that region to continue doing strong for some time.
 Construction segment gross margin was 12.7%, which was a nice improvement from 9.6% last year. The biggest factor in the year-to-year improvement was the absence of write-downs in the first quarter of 2019. In the prior year, $3.7 million of write-downs negatively impacted the gross margins. It is important to note that our Mid-Atlantic branch had net project write-offs of approximately $400,000 in the quarter, reversing the trend of project write-downs from 2018. Total net write-offs for the quarter were $1.7 million, which includes the closeout and settlement of the Red Wings project in Detroit, which contributed $1.2 million to gross profit in the quarter.
 On slide segment -- I'm sorry, on Slide 7, our Service segment continues to grow nicely with revenue increasing 23.3% from the prior year quarter as revenues came in at $29.3 million. The Florida and New England regions also led the growth in the Service segment offset by reduced activities in Mid-Atlantic. Service gross margin expanded to 23%, a substantial uptick from 16.9% last year. The first quarter 2019 Service gross margin benefited from the combination of improved pricing and volume, whereas last year's first quarter was negatively impacted by a project write-down of $900,000 in Mid-Atlantic.
 As you can see on the chart to the right, the Service margins came down to round a bit due to a variety of factors, including the presence or absence of higher margins' spot work. Using the rolling average of last 4 quarters, Service margins have been more stable ranging from 21% to 22.5%. SG&A was basically flat year-over-year, but as a percentage of revenue, improved from 13.3% in the first quarter of 2018 to 12% in the first quarter of 2019. We anticipate continued improvement in leveraging of SG&A going forward.
 Moving to Slide 8. As previously reported, we closed our refinancing on April 12, given that we discussed those details on our last call, I won't rehash them here. But if anyone needs a refresher, please feel free to reach out offline and we can review those details again. At the end of the quarter, our cash balance improved to $3.8 million as of March 31, up from $1.6 million as of year-end 2018.
 Working capital improved to $35.5 million, which resulted in the current ratio of 1.25. With the refinancing, we repaid all of our outstanding term debt and the old revolver under the old facility with the fully funded $40 million term loan. After the refinancing on a pro forma basis, our net working capital was $42 million, the current ratio is 1.3, and we had $5.8 million of cash on the balance sheet with nothing drawn on the revolver. For the first quarter 2019, our effective tax rate was 28.3%. 
 At this point, I'll hand the call back over to Charlie. 
Charles Bacon: Okay. Thanks, John. Let's move over to Slide 9. I just want to sum up our key points for the quarter before providing guidance for 2019.
 First, what has often been a seasonally weakest quarter due to winter weather in a number of our regions, we delivered what we think are excellent results. We continue to grow our revenues in both our segments, even with planned contraction in one branch. Our gross margins improved year-over-year, and we were within our long-term target range of 15% to 16%. We have room for improvement there, and I'm optimistic that our prospects for continued margin expansion will occur. 
 Our bottom line EPS of $0.28 and our adjusted EBITDA of $5.6 million are numbers we are proud of, but rest assured we're not resting on our laurels. We're focused on constant improvement and even better results in the future.
 Our guidance for the full year 2019 is for revenue of approximately $560 million and adjusted EBITDA of approximately $22.5 million. We did not provide ranges, but of course, we could see results that are less or more than these stated figures. I just want to remind everyone again that we made a deliberate decision to operate our Mid-Atlantic region at a lower run rate in order to focus on profitability. That region has been one of our largest in terms of revenues in recent years, so the contraction does have a meaningful impact on our revenue guidance for 2019.
 Also, while we were absolutely thrilled to see that, that region delivered a profit in Q1, as we previously noted, our goal for the year for that branch is to have a breakeven or turn a modest profit. With that in mind, we feel our adjusted EBITDA guidance was appropriately conservative. 
 Before opening up the call to your questions, I would also note that we have included additional slides in the appendix for those that are interested in the latest macroeconomic industrial data. From this economic data and our actual pipeline, for the near to midterm, we do not see any reduction of market opportunities and in several of our markets, we see further market expansion. This is one of the best market conditions I've seen in my career. The key success for Limbach and other contractors in this market is the discipline of execution with project selection and process execution in the field. We are laser-focused on discipline. 
 Operator, I'd like to open up the call to questions. 
Operator: [Operator Instructions] Our first question is coming from Bill Newby of DA Davidson. 
William Newby: Congrats on a great quarter. Charlie, you mentioned really nice backlog growth in the quarter. I guess if you include that unbooked awards that you guys talk about, how much of that 2019 revenue guidance would you say you kind of already have in hand? And I guess when you compare it to years past, how does it compare to this one here? 
Charles Bacon: Yes, look, we're in really strong shape for 2019. And compared to previous years, we're right where we want to be, and that's when we do our forecasting, we always step back and we do an in-depth review of what's going to burn and we try to take a very conservative view of when the projects are actually going to be executed. I guess the exciting part is with the scale of the backlog and as we noted in my comments, John's comments, we have visibility really starting to develop for '20 and even out into '21, which is great to see. So John, do you have any other comments for Bill? 
John Jordan: Yes, Bill, as far as the actual coverage, we're approaching 85% to 90% coverage for 2019, based on the backlog and the promised to probable. A fair amount of the promised to probable is not going to burn in 2019, but there is a portion that does, and combined with the backlog gives us some really good coverage for 2019. 
William Newby: Yes, that's great. And then I guess moving to the Mid-Atlantic obviously you guys are making some nice progress there. I guess, Charlie, can you remind us where you guys are at with those legacy projects and when do you expect to completely close the books on them? And then... 
Charles Bacon: As I've mentioned in the last call, we had 2 projects still to wrap up, and they're just about complete, between June and July, they'll be done. And really it just gets down to -- we're down to the punch list phase, wrapping some things up. So the big project after that is now we have to close out the project, so we have change orders and claims. We have certain things on our books that we feel very strongly, they are probable numbers that we will collect. The question is, how good can we do on the negotiations. A number of those projects were delayed outside of our control. We have a number of change orders that were added to these projects, at the tail end of them. So we have to wrap up the negotiations. We did -- one of the challenging jobs we had down there was the D.C. United Soccer Stadium. And we did close that out in the end of last year to Q1, and we did see upside come in off that close out. So we work very aggressively to do better than what we have on the books. And as far as timing of recognizing future, hopefully, upside and also getting the cash in the door, I think we'll see a good piece of that come in, in 2019, probably towards Q3, Q4. Some of it could slip into 2020, just knowing how some of these things tend to go. So Bill, I hope that -- does that answer your question? 
William Newby: That's very helpful. And then I guess one more on that business. I know you guys took a bit of a step back from the market as you kind of sorted out the issues there. Are you at a point where you can kind of get involved again in that market? Or I guess where are you out from that standpoint? 
Charles Bacon: Yes, I actually scheduled a meeting down there on May 9, I was there all day. And I worked with -- I think we had about 12 people in the room, all the senior managers and some junior managers in that business unit, with our Chief Operating Officer, the branch manager. And we talked about our market focus, meaning laser focus on what sectors we're going to become absolutely best-in-class in and put our resources against. And also looked at our customer base and who we're working for down there. And we decided we're going to look at several sectors, not try to do 5 or 6, but just several. And we're also going to be laser-focused on a few customers. When I say few, it was more than three, but that we do extremely well with. And some of the others that have gotten, I think, themselves into some trouble due to their overexpansion. And I think we felt the pain on some of those projects because of that. We're going to be laser-focused on quality of the relationships with that customer base. 
 And then finally, when you look at the scale of projects that we're going to be looking at in Mid-Atlantic, we want to prove out again that we can make damn good money. So we're not going to be going after large scale projects. It's going to be kind of the bread and butter work, $5 million to $10 million contracts. Contracts that tend to you get in, you get out, and not go after the larger projects. And all of that, all of that will be tied back to our availability of resources, both in terms of project management, supervision and craft.
 So -- and I think I mentioned on the previous call something that we started back in Q3 into Q4, every business unit has to present a 12-month look ahead for their manpower, so we can absolutely see when they need more business, and we also want to monitor that we're not seeing any sort of explosive growth and avoid what happened at Mid-Atlantic in the past. So I think great group of people. I actually left there, Bill, really pumped up because the morale, when you go through a tough year like that, it's tough on the executives. But I left there and I commented to the COO and the branch manager, like, wow, I was expecting maybe a bit more down and out, but the guys were actually very positive and excited about their future, they were excited that we got challenging projects behind us. It's a new day, and they liked the conversation we had about our focus on the future. So it was very productive. 
Operator: Our next question is coming from Gerry Sweeney of ROTH Capital. 
Gerard Sweeney: I got a couple of questions. I'm just going to put them out there, maybe not in any particular order. Talking about the backlog, it's quite good and then your promised work is also -- looks quite good as well. The question is, how is that backlog diversified across your segments or geographies? Is there any of the business building in one area that could raise a concern, vis a vis like Mid-Atlantic before and available labor, et cetera? 
Charles Bacon: Yes. So in that backlog, if you recall, we did secure commitments from a developer up in Detroit, Bedrock. And there's a high-rise tower in there that's part of the promised work and a mixed-use project, that's a good size, along with a Central Utility Plant for both of those buildings. And I don't recall the number off hand here, Jerry, but perhaps we could follow-up on that. But the -- that work is maturing. It's actual work that's going to happen in 2020, 2021, 2022, it's out there. It's not happening in 2019. And actually, I think very little of it actually happens in 2020. So what I like about it is, it allows us to kind of project out in that Detroit market our manpower, and we feel really good about the kind of the timing of all that. And that's a good piece of that promised work. The other promised work, John, I'm trying to think if there's any other heavy concentration and I don't think so. I think it's spread out around the business. 
John Jordan: Yes, it's pretty well spread amongst the other branches. Detroit is the largest portion of the promised work as well as the largest portion of the backlog, and it represents about 20% of the backlog are the projects in Detroit as of the end of March. 
Charles Bacon: Gerry, just one other comment about that. I want everybody to remember that the Michigan business unit did the largest contract in our history, the Red Wings Arena Entertainment Complex, which went extremely well. I mean it was just a great outcome. And what we did there was we actually subcontracted out 40% of that project to others in the region of both local businesses and some of our bigger competitors, and we expect to do the same with these other projects. So we're not looking to self-perform all of it, we're looking to subcontract out a good portion of it. But I think the guys have very good plans on how to make sure we manage our risk up there, and they obviously have a track record of doing that well. 
Gerard Sweeney: Got it. And then margins. Obviously, the construction market is heating up and it's quite strong. As you look at some of this work you're bidding and winning, could you give us a little bit of detail on what that margin profile looks like as we sort of out... 
Charles Bacon: Yes. In a number of our markets where we're very, very busy, we're obviously being careful, again, against those labor curves and when we have craft available to execute. But we're pushing hard. We're pushing the margins up. We're making sure our estimates have, what I call, fatter contingency, which eventually would flow to upside as we close out projects. And we saw a bit of that happen, quite frankly, in Q1 here in our results, we saw some nice upside coming in. 
 So as we go forward, it depends upon the location, it depends upon the customer. We are pushing. We're not going to be overly greedy. We have some great, great repeat customers. They know our margin structures, and we like how they met dependable steady work that we can count on, bit of annuity. So we got to watch what we do there. But for other opportunities, where it's not that kind of relationship, we're pushing and pushing them hard to get the numbers up. 
Gerard Sweeney: Got it. And then wanted to talk -- you didn't talk about acquisitions on the call here, but a few weeks ago you did. And correct me if I'm wrong, I'm running a little bit off of memory, but when you talked about acquisitions on the fourth quarter call back in April, I think you discussed maybe shifting a little bit more focus towards companies that were looking -- that had more service in their business profile. Is that... 
Charles Bacon: Yes. We're definitely back in the hunt. We're going to be very selective. We're looking for the right deals and we're going to take our time to find those right deals. But it's a combination of we continue to be very interested in the industrial sector. We did have that opportunity we looked at back last summer, and we learned a lot about the industrial sector. And right now with what you see happening in the United States, U.S. Steel announced a major, major plant. I think it's their first major investment in the United States in I don't know how long. 
 Nucor continues to expand. This morning, I was reading the journal, Stanley Tools announced they're going to build a $90 million plant, and they're going to take the production of Craftsman tools out of China and bring it back to the United States. And then I was listening to some other commentary this morning on Walmart and how they're looking to bring or I guess entice manufacturers that supply them to be more domestic compared to their China. Maybe going back to bit of Walmart's roots, which used to be U.S.A. made. So it's kind of interesting what's happening. I think that's going to really drive the industrial market. So we are looking to see what we can do, based on what we learned from the previous acquisition opportunity we're looking at, and I'm not referencing that particular deal, that's not what I'm referencing at all. But we are looking at the industrial sector. Now on the -- as well as other opportunities, as long as we can see a damn good return based on how we're going to restructure it and it's accretive, we are looking at different opportunities right now.
 On the Service side, which is where your question, I guess, was primarily focused, that's also an area that where we're laser-focused on. So it's not just Service. It will be opportunities on the Construction side, fabrication side. All sectors being considered. Industrial, we just seem to find attractive right now. So we're looking around to see if there's something out there that we might be able to sink our teeth into. But we're not going to just jump to get one done. They have to be meeting all of our criteria. Does that answer the question, Gerry? 
Gerard Sweeney: It does. It does. I mean the follow-up to that would sort of be like, if we're getting -- I'm not sure if we're getting later into the construction cycle, but we're certainly further along than we were a year ago. Does that shift your focus more towards the service opportunity? Because I mean you certainly don't -- if the construction side is tight, margins are going up, people are going to demand a higher price, I mean do you shift your focus more towards the Service business that has more consistency, probably a different cycle than the construction side? 
Charles Bacon: We're clearly very attracted to the Service side of the business. And I think we continue to grow that organically, so nicely. Our ratio coming into this year, we're looking at anywhere from 21% to 22% of our revenue coming out of service. So we continue to see a nice growth factor there. And as I've stated previously, I want to see that mix go to 75-25. I'd love to see it go to 70-30 in terms of Construction and Service. So -- and we're doing that for all the right reasons, because if there is a market slowdown, and we certainly don't see one in the near to midterm, we'll be very well-prepared for that. But Gerry, the other thing I want to share with you and to everybody else listening, the key to Limbach in terms of dealing with cyclicality of the industry is diversification. And again, my experience has been, the deep recession, yes, that was a very deep and that hurt. 
 But in previous cycles with Limbach or my previous life, the diversification of having 8 core sectors, and we're working mission-critical to expand that and I did comment on the last call that we secured another project in mission-critical data centers. You're going to have a sector go up, you're going to have a sector go down in a cycle. But when you have that kind of diversification, you shift your resources to the site -- to the sector that's still continuing to produce. So if you see office buildings come down, but health care is going to continue, we'll probably put more resources behind health care or whatever sector appears to be appropriate. So in my previous life, Limbach, we kept growing, even down in a down cycle because of the diversification. Service on top of this just adds further protection and de-risks the business. So I think we're working in all the right areas. And the industrial piece, we're going to continue to hunt around and look for something in that area to kind of help with further diversification. 
Gerard Sweeney: That -- it's really helpful. Admittedly, I'm a little bit scared from the Great Recession. So I -- it's -- I think you get a little bit more of a hit on that than going back into some more normalized business cycles. 
Operator: Our next question is coming from Alex Rygiel of B. Riley FBR. 
Alexander Rygiel: Just one quick question. Charlie, can you give us a little more color on Mid-Atlantic sort of revenue base? What I'm trying to get to is understanding that there's not much contribution to EBITDA in 2019, how should we think about this business in 2020 and what incrementally it could add to you? 
Charles Bacon: Sure. So we purposely shut sales down on the construction side of the house until we got organized. What I mentioned in terms of the meeting I just had with them on May 9, it was to let's get going again, all right. We're proving to ourselves, you're proving to John and I that you can be profitable again. They did have a decent first quarter, not where they should be. But we were happy to see the profit they delivered. The discussions we've had is we don't want a massive ramp-up. We've got our craft manpower now. I believe the latest number I heard was 163 crafts in the field. And in the past as I've said, that business produced quite well, 175 to 225. So we're back down slightly below our comfort level, which I'm actually really good with. They're really doing a good job making sure we have the top talent working for us. 
 So we're going to walk before we run. And in 2019, I just want to see that business continue to be stable, and show me and John that you can produce a decent profit again. Now we're gearing up, they have enough backlog for the year to deliver what they have in their business plan. But as we start ramping up sales, now we're looking at coverage for '20 and '21. So we're going to look at these shorter-cycle projects in that $5 million to $10 million range that tend to get going quicker and burn relatively shorter period, call it 12 months versus 24 months, and just continue to prove out the execution of the business. Our expectation right now is relatively flat year in '19, but start coming back with some nice profitability. Revenue-wise, still staying in that $60 million to $80 million range there. We're not looking to grow it up to where it was overnight, maybe in 2021 we can start hitting those numbers again. But not until the prove to us that they can deliver the bottom line. So Alex, does that answer your question? 
Alexander Rygiel: Sure does. Thank you very much. Nice quarter. 
Operator: [Operator Instructions] Our next question is coming from Mark Henry of Midwood Capital. 
Mark Henry: So I just guess in the quarter you guys generated $5 million or so of EBITDA, but the company burned about $4.5 million of free cash flow. I guess what do expect the company to generate in free cash flow just based on the EBITDA guidance you provided for the year? 
Charles Bacon: John, could you please take that? 
John Jordan: Sure, yes, Mark. The free cash flow for the year, we're anticipating it to be roughly in the $10 million to $15 million range. We're continuing to monitor that pretty closely. We're going to do a forecast here later in the second quarter, which will give us more clarity on that for the remainder of the year. But from a general range, that's what we're expecting to come out for the year. 
Operator: [Operator Instructions] Ladies and gentlemen, this does conclude our question-and-answer session. I would like to turn the floor back over to management for any additional or closing comments. 
Charles Bacon: Thank you, operator. I want to thank all of our investors that believe in our future. We are confident some difficult lessons learned in 2018 and has left us of better off in the long run. We look forward to our continued growth, both organic and acquisitions. 
 I want to thank all of the employees of Limbach for their great work during the past quarter. To our investors, thank you for your support and interest in Limbach. 
 We have a great group of people leading their business along with over 1,700 employees that truly care about our company and their fellow employees. I'll close with the proof of the quality of our company. Within our Philadelphia business unit, they were rated as the #1 place to work for 2019. This was our first time submitting a rather remarkable accomplishment. This clearly indicates we are an employer of choice and will certainly help us in retention and recruitment to support our anticipated continued growth. It was very excited about the Philadelphia people and I was at that dinner when they got the recognition. You don't know where you're going to land in terms of when they do a countdown at these events. And having never submitted before, and to see how we went down to the top 10, and they actually counted through 50 companies that made the short list, and when we got down at #2, I can tell you the crowd we had there at that gala dinner, the guys went crazy and I was very happy to see that they were thrilled to get the acknowledgment. But it really gets down to the quality of our company. The company did not go and submit that, it was a group of employees that submitted it. They feel very great pride in Limbach. And it's all about people in our business. Obviously, discipline and execution. But when you see that kind of camaraderie happen, it, I think, bodes well. So I just want to let the investors know that you got a group of people, both leading and executing this business. 
 Operator, thank you very much. All the best, folks. 
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's conference. You may disconnect your lines at this time, and have a wonderful day.